Operator: Good day, and thank you for standing by. Welcome to the Bank of Hawaii Corporation First Quarter 2024 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Cindy Wyrick, Director of Investor Relations. Please go ahead.
Cindy Wyrick: Thank you, Marvin. I'd like to welcome everyone and thank you for joining us today as we discuss the financial results for the first quarter of 2024. Joining me today is our CEO, Peter Ho; CFO, Dean Shigemura; our Chief Risk Officer, Brad Shairson; and our IR manager, Chang Park. Before we get started, let me remind you that today's conference call will contain some forward-looking statements. And while we believe our assumptions are reasonable, there are a variety of reasons that the actual results may differ materially from those projected. During the call this morning, we'll be referencing a slide presentation as well as the earnings release, both of these are available on our website, boh.com, under the investor relations link. And now, I'd like to turn the call over to Peter. Peter?
Peter Ho: Thanks, Cindy. Good morning, or good afternoon, everyone. We appreciate your interest in Bank of Hawaii. Bank of Hawaii produced another solid financial performance for the first quarter of 2024. NIM, while down 2 basis points for the quarter showed significant directional improvement. Fee income and operating expenses were steady for the quarter. Credit quality remains excellent. Loans and deposits were stable for the quarter. Liquidity and capital levels grew. I'll start off with some commentary on funding and then touch on broader market conditions here in the Islands. I'll then hand the call over to Brad to discuss credit. Dean will then share with you some more granular color on the financials. Let me begin by touching a little bit on the deposit side. As you know -- as many of you I think know, we consider our deposit franchise to be our crown jewel, built methodically over our 127-year history, one relationship at a time. This base has served us extremely well as market rates and betas have moved up over the current rate cycle. As most of you know, Hawaii is maybe the most unique deposit market in the country with five locally headquartered banks holding 97% of the state's FDIC reported deposits. You can see here, we have amazing tenure in our deposit base across multiple customer segments. This has enabled us to maintain great stability and balances across what has been a bit of a tumultuous period for the industry. Our deposit franchise has also enabled us to deliver total cost of deposits well below industry norms. The increase in total cost of deposits in the quarter of 7 basis points is the smallest increase since the second quarter of 2022, helping us to meaningfully improve the trajectory of beta. Liquidity levels remain abundant. The employment picture in the islands remains strong and continues to outperform the broader market. The visitor industry continues to be impacted by the tragic Lahaina fires. Year-to-date, February, total visitor expenditures and arrivals were down 1.9% and 0.6% respectively. These levels ex-Maui, however, were up much greater levels of 6.4% and 7.6%, respectively, reflecting continued growth in U.S. Mainland visitors ex-Maui, and significant growth in the Japan market, which is up 57.8% on expenditures and 84.3% on arrivals from last year. RevPar remains steady. Residential real estate on Oahu remains stable with median prices up moderately for both single-family homes and condominiums. And now, let me turn the call over to Brad.
Bradley Shairson: Thanks, Peter. Before beginning, I'd like to acknowledge my predecessor, Mary Sellers, who recently retired after leading risk management here at Bank of Hawaii for the last 19 years. Her vision and development of a strong team laid the foundation for continued sound risk management going forward. During her time, Mary oversaw refocusing of the bank's credit philosophy towards lending in our core markets and to longstanding relationships. This has greatly contributed to the strong performance of our lending book for many years. As Bank of Hawaii takes great pride in serving our community, our loan portfolio is 92% Hawaii, 5% Western Pacific, and just 3% Mainland, and those Mainland loans are supportive of our core client relationships. As I walk through our current state, you'll note there really hasn't been much change from last quarter. The lending philosophy I just mentioned is reflected in our loan growth, which has been steady and organic. From the end of 2019 to the end of last year, we averaged about 6.5% loan growth per year. On the consumer side, which represents 58% of our total loans or $8.1 billion, we are predominantly lending on a secured basis against real estate. 85% of our portfolio is comprised of residential mortgage or home equity, with a weighted average LTV of 51%. The remaining 15% of the portfolio is a combination of auto and personal loans, where our average FICO scores are 732 and 758, respectively. Moving on to commercial. Our portfolio size is $5.8 billion, or 42% of our loan book. The largest share of commercial is commercial real estate with $3.7 billion in assets, which equates to about 27% of total loans. This book is well diversified across industries and carries a weighted average LTV of only 56%. Given CRE is getting a lot of attention in the industry, let's take a deeper look at our portfolio, which does differ from the Mainland. Starting with the stability of our real estate market in Oahu, vacancy rates remain stable, reflective of the Hawaiian economy and history of limited supply. Industrial vacancy has continued to hover around its historic low, currently just 0.64% versus its 10 year average of 1.75%. At 13.45%, office vacancy is slightly less than a percent higher than its 10 year average. Office conversions and a long-term trend of office space reduction will likely continue to temper vacancy rates there. Retail and multi-family vacancies remain on par with historical averages. A big part of the story here in Hawaii relates to a lack of available land for new construction, which has caused this long history of limited supply across all property types. Looking at industrial, square footage has increased by only 1.2 million square feet, or 0.3% annually over the last 10 years. Similar stories for both retail and multi-family, which have increased 0.7% annually over that same time period. Office space has actually come down 1.5 million square feet, or 1.1% annually for a total 10% reduction over the last 10 years, and that trend continues with conversions from office to condo or even hotel. The limited inventory across all property types makes for greater opportunities for re-purposing real estate when supply and demand balances shift. Additionally, that lack of new construction prevents overbuilding and creates resiliency and durability. You just don't see a cyclical nature here to CRE supply in Hawaii, which on the Mainland has been known to lead to boom and busts. Turning to our lodging market. You can see that the same story on inventory applies to hotel space with no additional square footage over the past 10 years, in fact, a slight decline of 0.03% annually. Additionally, RevPAR and occupancy rates have been trending solidly upward as international visitors, including those from Japan have continued to recover from the pandemic. Our CRE is well-diversified amongst property types with no sector being greater than 6.5% of total loans. Our conservative underwriting has been applied consistently across those different property types with all weighted average LTVs below 60%, and our scheduled maturities have no maturity wall with only 5.1% of loans due to mature this year and 9.7% next year and more than half of our loans are maturing in 2030 or later. Looking at the distribution of LTVs, the tail risk in our CRE portfolio for any loans with greater than 80% LTV totals $37 million, or just 1% and if we move that metric up to 82%, our CRE portfolio has less than $10 million of exposure, and that's less than a third of a percent (ph). Our office exposure remains low and manageable with only 1.1% of the portfolio in criticized and only 6% of office loans have LTV greater than 80%. Our maturities over the next two years total less than 4% or $14 million of our total outstanding office exposure. Additionally, just 23% of office space is located in Downtown Honolulu, with average LTVs of 60% and 44% of those carry guarantees. Turning to our multi-family portfolio. Only 0.6% of the book, or about $5 million has LTV greater than 80%, and this is a market where the severely limited supply, combined with the high cost of ownership, drives consistent strong rental demand. Scheduled maturities over the next two years are less than 20% and more than 65% of book does not mature until 2030 or later. Looking at our credit metrics overall, this past quarter compared to linked quarter, metrics remain quite stable and asset quality remains strong. Net charge-offs were $2.3 million at 7 basis points annualized, up 2 basis points from Q4, but down slightly from a year ago. Non-performing assets have remained stable at around 9 basis points for the last year. All non-performing assets are secured with real estate with a weighted average loan to value of 58%. Delinquencies and criticized loans are also stable, with delinquencies flat at 0.31% from prior quarter and criticized loans up 4 basis points from the prior quarter to 1.97%. And the allowance for credit losses on loans and leases was $147.7 million at the end of the quarter, that's up $1.3 million for the link period and up $4.1 million year-over-year. The ratio of our ACL to outstanding's was 1.07% at the end of the quarter and that's up 2 basis points from the prior quarter and up 3 basis points year-over-year. I'll now turn this over to Dean for an update on our financials.
Dean Shigemura: Thank you, Brad. In the first quarter, we maintained our hedging program with $3 billion of notional pay fixed receipt float interest rate swaps and we continue to direct investment portfolio runoff into cash at attractive yields. These actions have increased our floating and adjustable rate asset exposure to 45% from 27% at the end of 2022 and positioned us well for this uncertain environment in a range of interest rate outcomes. Net interest income was $113.9 million in the first quarter, a decrease of $1.8 million linked quarter. Repricing from asset cash flows contributed $4.7 million of additional net interest income linked quarter, while continued deposit mix shift and repricing, as well as a smaller balance sheet from lower deposit balances subtracted $5.5 million. In addition, net interest income was also impacted by one less interest earning day in the quarter, as well as $200 million of our fixed-to-float investment securities resetting during the fourth quarter, which reduced portfolio interest income by approximately $700,000 on a linked quarter basis. As a result, net interest margin declined by 2 basis points linked quarter. As noted earlier, our assets continue to reprice higher, supporting net interest income and the margin even as fed funds remain unchanged. In the first quarter, cash flow from maturities and prepayments was $806 million. We continue to enjoy greater than 3% spread on cash flow from fixed and adjustable loans being reinvested into like assets and investment securities, cash flows, being reinvested into cash while maintaining healthy yields on reinvested floating rate loans. We continue to forecast annual cash flows from maturities and paydowns of loans and investments to be $3 billion, which will provide an ongoing supplement to the $7.2 billion in assets, which include our interest rate swaps, that reprice annually. As a result, of these cash flows repricing, our assets higher, our overall asset yields have steadily increased and are expected to continue to increase as new asset yields are well in excess of run-off yield. As Peter mentioned, the rate of growth in our deposit costs have slowed significantly in the first quarter through disciplined pricing, which is expected to continue, as well as through growth of lower cost and more granular consumer deposits, which increased $109 million linked quarter. However, as the outlook for rates has shifted from six rate cuts to a higher for longer rate scenario, we expect continued pressure on our deposit mix and pricing to result in slightly higher overall deposit costs. Non-interest income totaled $42.3 million in the first quarter, unchanged from the fourth quarter, as market conditions and transaction volumes were steady. We expect core non-interest income to be slightly lower in the second quarter, due to recent market volatility. During the first quarter, as is our practice, we managed our expenses in a disciplined manner as inflationary conditions continue. Expenses in the first quarter were $105.9 million, which included $2.2 million of seasonal payroll taxes and benefits related to incentive payouts and restricted stock vesting. In addition, we recognized $500,000 of severance expenses in the quarter. Thus, the adjusted core expense level in the first quarter was $103.2 million. Core expenses in the fourth quarter were $102.9 million, when adjusted for the industry wide FDIC special assessment that resulted in a $14.7 million charge, as well as $1.7 million of expense savings, not expected to recur. Thus the adjusted core expense level in the first quarter was $300,000 or 0.3% higher linked quarter. We continue to evaluate expense levels and have revised our expected normalized expenses in 2024 to increase 1% to 2% from 2023 normalized expenses of $419 million, and this is lower than our prior guidance. In the second quarter, we expect to recognize an additional non-recurring industry-wide FDIC special assessment. The FDIC has indicated that we will be informed of the actual amount in June. In addition, I want to note that the annual merit increases took effect at the beginning of April and are included in the expense guidance. To summarize the remainder of our financial performance in the first quarter of 2024, net income was $36.4 million and earnings per common share was $0.87, increases of $6 million and $0.15 per share, respectively. Our return on common equity was 11.2%. We recorded a provision for credit losses of $2 million this quarter. The effective tax rate in the first quarter was 24.7%. The tax rate in 2024 is expected to be approximately 24.5%. As has been the experience since the first quarter of 2023, we continue to organically grow our capital from prior quarters and we continue to maintain healthy excesses above the regulatory minimum well-capitalized requirements. Our risk weighted assets to total assets ratio are well below peer median, reflecting the low-risk nature of our asset mix. During the first quarter, we paid out $28 million to common shareholders in dividends and $2 million in preferred stock dividends. We did not repurchase shares of common stock during the quarter under our share repurchase program. And finally, our Board declared a dividend of $0.70 per common share for the second quarter of 2024. Now, I'll turn the call back over to Peter.
Peter Ho: Great. Thank you, Dean. That concludes our prepared remarks. We'd be happy to entertain your questions at this time.
Operator: Thank you. At this time, we'll conduct the question-and-answer session. [Operator Instructions] Our first question comes from the line of Jared Shaw from Barclays. Your line is now open.
Jared Shaw: Hi. Good morning.
Peter Ho: Good morning.
Jared Shaw: Thanks for taking the questions. Maybe first, just starting with margin, as we do look at the securities cash flows continuing to come down, I guess at the same time cash came down this quarter, should we -- with the expectation that there's still a little bit of tail on deposit cost, how should we be thinking about the trajectory of margin over the next few quarters?
Peter Ho: Yeah. So when you look at our asset side of the balance sheet and the repricing from our cash flows, we continue to expect approximately, in total, about $5 million of accretion NII and then on the liability side, on the deposits, with the higher for longer interest rate environment, we do expect the deposit remix and repricing to continue somewhat, but at a much, much lower rate than what we've been experiencing and what we had experienced in 2023.
Dean Shigemura: Yeah. We really saw deposit costs flatten pretty meaningfully, not completely, but meaningfully, pretty much in the fourth -- late into the fourth quarter, call it, November of '23. And so if you look at '23, January through that November period, average total deposit costs were growing at about 11 basis points per month, from that November mark forward, so through the first half of this month, that number slowed to like 2 basis points. So a big step down, but still plus 2 basis points per month. And it's anyone's guess as to whether or not that 2 basis points turns to 1 basis point or zero, we're hopeful towards that trend, but just too tough to tell. So I think, the quarter -- the tail of the NII for the quarter is going to be the NII accretion that we get from the fixed asset cash flow against whatever we end up with from a funding cost standpoint for the quarter. And last quarter, I thought we had a pretty reasonable chance at coming out ahead, didn't come to pass. There are some one-off items in that number as well. We'll see what happens this quarter. But it's just -- the numbers are getting so tight, it's just too tough to make a call one way or another, I'd say.
Jared Shaw: Okay. Good color. Thanks. And then shifting, I guess to capital, you continue to grow capital, really strong levels there, and you mentioned the buyback authorization, what's the general feeling with buying back stock here? And I guess, at what point is capital getting too high given the broader growth profile staying in that, call it, longer term 6% range?
Dean Shigemura: Yeah. So I think a lot to think about on the capital front, both from an operational standpoint, as well as from a top down regulatory standpoint or just kind of the broader industry perspective. And so, I think kind of from the top down, there's still a fair amount of uncertainty around where banks are going to be pushed to hold capital levels from the bottom up. It still feels like there's a fair amount of caution, I'd say, in the marketplace and so we think that growing capital is thought of as a good idea in the eyes of our shareholders and therefore probably a better idea than the alternative of stock repurchase for now. Now, greater clarity from the top down would be helpful. Improvement in kind of the bottom-up environment would be helpful, and that probably begins to change our trajectory over time.
Jared Shaw: Got it. Thanks very much.
Dean Shigemura: Sure.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Jeff Rulis D.A. Davidson. Your line is now open.
Jeff Rulis: Thanks. Good morning.
Peter Ho: Hi, Jeff.
Jeff Rulis: Peter, just to maybe follow on, it follows that you talked about deposit costs sort of by month 2 basis points, interested in the spot rates on both interest bearing and total deposit costs, how do those compare to the full quarter averages?
Peter Ho: Sure. So total average deposit cost for -- I can give you the average for March of that, was 177 (ph) and average interest-bearing deposit costs -- so that's, yeah, average interest-bearing deposit cost for March was $2.42.
Jeff Rulis: Okay.
Peter Ho: Yeah. So, pretty flat.
Jeff Rulis: Okay. Yeah, about 3 basis points or so higher than the quarterly. So that's kind of the trend and, like you said it leveling off, just wanted to check that figure. Okay. If I were to maybe just hop -- maybe on the loan pipelines, I kind of heard from various inputs that the higher for longer, maybe there was a pause earlier in the year in terms of thinking about rate cuts, and I guess maybe some customers not giving up on that, but the higher for longer is occurring, are you seeing that in your loan pipelines or people settling in on rates where they are that it's actually starting to improve the pipeline picture at all kind of year-to-date?
Peter Ho: Yeah. Jeff, the pipeline has been interesting, and in spaces where we get some rate relief, we've seen good movement, I'm talking more on the residential lending side, some good pickups in volumes, and then as rates begin to crest again as they have most recently, you see that demand fall up pretty quickly. So our resi was down 0.6% for the quarter on an average basis. Home equity was down 1.1% on an average basis. We were hoping for a flattening this quarter. We'll see if we get that depending on how rates fall out. But my outlook for or our outlook for the balance of the year is pretty flat and that's based on; one, a belief that rates are possibly higher for longer, so not a lot of confidence in rate relief; and secondly, I think in part that's driving the consumer to be a little bit more cautious, both the consumer as well as, I think, the commercial and commercial real estate customer.
Jeff Rulis: Okay. Thanks, Peter. And one last one, if I could, just -- really interesting stats, I had no idea the industrial CRE kind of vacancy is that low, and supply -- the lack of growth there, I -- curious as to the history of conversions on the island on Oahu from office to industrial and maybe some of the puts and takes there, I'd be interested in just hearing that flow if there is some.
Peter Ho: Yeah. Well, so the conversion side is -- there's not much conversion from office to industrial for lots of different reasons, just kind of the configuration of where this real estate is and the like, and Hawaii is a very onerous entitlement place, so it'd be tough to get those asset classes converted. Where we do see a fair amount of conversion though is office to multi-family, and that's happening pretty meaningfully here in the Downtown corridor, and -- obviously, we think that's positive because office is not a disaster but it's still a 12% to 13% vacancy market for us and we're just completely housing constrained. So starting to see more than green shoots into that space and that's probably more the trend from office to housing versus office to industrial, and the industrial issue is an issue, it's like that kind of vacancy factor is, as you can imagine, creating all sorts of dysfunction operationally in the island.
Bradley Shairson: I'll just add really quickly that when you look at that graph, you can see that office space has come down a little more in the past five years than the previous five. So it's down 1.2 million square feet in the last five years and there is a -- there are forecasts out there for it to come down another 400,000 square feet or so in the next three years.
Jeff Rulis: Okay. Thanks, Brad and Peter. Appreciate it.
Peter Ho: Sure.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Andrew Liesch of Piper Sandler. Your line is now open.
Andrew Liesch: Thanks. Good morning, everyone. Just curious what you guys are seeing on deposit trends. It sounds like you had some public funds leave and then some Lahaina-related fire relief efforts, deposits leave, but do you think you've reached a point of stabilization in the mix that you can grow deposits from here, or I guess, what are you hearing at the individual client level?
Peter Ho: Yeah. Good question, Andrew. So there was some bumpiness as you saw in the numbers from Q4 to Q1, and really, the way to think about it is Q3 to Q4 to Q1, and so, Q3, we were at $20.5 billion average deposits, Q4 we spiked $20.7 billion, and then now for this past quarter, we're down to $20.5 billion, and that run up in Q4 had a lot of Maui insurance and essential aid type of money, that kind of flowed in in the quarter and then flowed out in the quarter. So I think that probably the number to go off of for the foreseeable future is kind of that 20.5 billion mark, that seems pretty durable. And what we're seeing amongst deposit mix is a pretty meaningful slowdown in mix shift from non-interest bearing to interest-bearing. So if you look at '23, kind of the first three quarters of '23, that runoff in non-interest bearing was about $98 million per month, and then kind of from Q4 '23 to current, that number's down by about a third of that, like $33 million. So I'm not sure that we're completely done with kind of runoff in non-interest bearing, but as you can see, the rate of runoff has slowed pretty dramatically. And frankly, we were thinking that as we got a rate cut or two, that would kind of mark the end of that period, but that seems like that may be pushed out a little bit at this point.
Andrew Liesch: Got it. Okay. That's really helpful there. And then, Dean, just on the expense guidance, so the $419 million, the 1% to 2% growth off that, that does include the seasonal impact that you had in the first quarter at $2.2 million, correct?
Dean Shigemura: Yeah. It does include the $2.2 million, but would exclude the second special assessment of the FDIC.
Andrew Liesch: Right. Got it. Okay. Thanks for that clarity -- that clarification, that you've answered all my other questions, I'll step back. Thanks.
Dean Shigemura: Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Kelly Motta of KBW. Your line is now open.
Kelly Motta: Hi. Good morning. Thanks for the question. I might circle back to the margin, looking at Slide 40 -- 34 with the, call it, $800 million of loans and investment portfolio flows coming in Q1, I was surprised to see earning asset yields only increased 4 basis points this quarter. I was just wondering, if there was anything unusual or any kind of puts and takes to think about, as we think about the dynamics of the repricing of your book, as we look ahead in a higher for longer environment?
Peter Ho: Yeah. One thing to point out is that, as I mentioned, the investment portfolio, we had some of securities that repriced fixed to flow, that brought down the yield on the investment portfolio, so that had an impact. And then, in addition, the loan volume came down, balances came down, so that also had an impact on the overall yields. If we had stayed flatter, the increase would have been greater.
Kelly Motta: Okay. All right. That's helpful. And then going back into earlier, into the Q&A, I think you had said about, you expect about $5 million in NII from earning asset repricing over -- in the next couple of quarters, just wanted to clarify if that's over the course of the year or next quarter? I just wanted to kind of close the loop on that commentary to make sure I'm understanding it correctly.
Peter Ho: It's per quarter.
Dean Shigemura: Yeah, per quarter.
Kelly Motta: Awesome. Thanks so much. I guess last question, credit is really a strength of the bank and I love all the slides on the asset quality, it really highlights how strong things are. I know it's a couple of years out, it looks like there's maybe a third of the office portfolio matures in 2026, I'm just wondering, if it's -- you started kind of proactively reaching out to those borrowers and got an assessment of how that's going to hold up. I know it's not that large of a piece given how the size overall of office, but just wondering if there's been any sort of proactive work with those borrowers and any early insight you can share with that?
Peter Ho: Yeah. Well, I mean, we're in contact with one of the great things about a bank our size is the quality and intimacy of the relationships we have with our customers are really important to us. And so -- we're, as a matter of course, in contact and working with our clients at all times on all types of loans, the office sector, we're not seeing a heck of a lot of stress there, Kelly. So there's not too much reason to be thinking about restructuring or how do we fix this loan or that loan at this point. Should conditions change, obviously, we'll begin to have different and more frequent conversations. But for now, we feel pretty good about where that book is, despite the title of it being office.
Kelly Motta: Appreciate it. Thanks for the color, Peter.
Operator: Thank you. This concludes the question-and-answer session. I would now like to turn it back to Cheng Park for closing remarks.
Chang Park: Thank you, everyone, for joining us today and for your continued interest in Bank of Hawaii. As always, please feel free to reach out to either Cindy or me if you have any questions on any of the topics discussed today. Have a great day.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.